Operator: Good day and welcome to your View, Incorporated Second Quarter 2022 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Samuel Meehan, Head of Investor Relations at View. Thank you, Samuel. You may begin.
Samuel Meehan: Good afternoon, everyone and welcome to view's Q2 2022 earnings call. I'm Samuel Meehan, Head of Investor Relations at View. I'm here with Dr. Rao Mulpuri, our CEO; and Amy Reeves, our CFO. Before we begin, I'd like to remind you that after, market closed today, View issued a press release announcing its Q2 2022 financial results. You may access this press release in the Investor Relations section of view.com. As today's discussion includes forward-looking statements, please refer to our press release for a discussion of factors that could cause the company's actual performance to differ materially from those forward-looking statements. I would also like to remind you that during the call, we will discuss certain non-GAAP measures related to View's performance. You can find the reconciliation of these measures to the nearest comparable GAAP measures in the press release. Rao, over to you.
Rao Mulpuri: Thank you, Samuel and thank you all for joining us for View's earnings call this afternoon. During our prepared remarks, I'll briefly describe our Q2 results and provide commentary on the market and our customers, recent development in our business, the progress we've made on fundraising and finally, the importance of federal legislation that was announced and is currently passing through Congress. Starting with the Q2 results. For Q2 2022, we're reporting revenues of $16 million and confirm that we're on track to achieve our 2022 guidance in the range of $100 million to $110 million. With second half revenues in the range of $67 million to $77 million, representing year-over-year growth of 41% to 62%. Our growth is being driven by strong customer conversion, repeat business, healthy ASPs and traction of both our smart building platform and smart building cloud products. Our business requires investments in capacity and infrastructure as we are vertically integrated and deliver a full stack product. We've already made significant investments, including over $400 million of capital and equipment as well as building the sales and customer support infrastructure. In 2022, we're starting to see the leverage inherent in our business model, particularly as we grow revenues in the second half of this year. At scale, we will be able to deliver more than $1 billion of revenue with only incremental increases in fixed costs. This is the fundamental driver of a high-margin technology business at scale at full capacity. As a reminder, we already have signature installations with market-leading customers in each major vertical. Our growth is driven by strong repeat purchase behavior, increasing broader market awareness and a healthy pipeline and backlog. While we continue to make great progress in market adoption, I also want to share with you an exciting new development on the legislative front related to climate change and its tremendous potential impact on adoption of smart windows. The Inflation Reduction Act of 2022 represents the country's single largest investment in energy security and climate change solutions. The U.S. has long been a leader in climate change technologies. And we applaud the effort by Congress to ensure the country also leads on the policy front. Specifically for View, smart windows are included as part of an expansion of the investment tax credit. This will make smart windows the same cost as traditional windows while significantly reducing the energy footprint of buildings. Buildings represent the largest sector for energy use and carbon emissions with 39% of all energy consumed in the U.S. There is a massive opportunity in the coming years to build highly energy-efficient new buildings and to retrofit and modernize existing buildings. Improving the envelope of buildings with smart windows is one of the most impactful ways for the country to reduce energy usage and emissions. Decades of research and significant capital have already been invested to develop and commercialize smart glass technology with proven energy benefits. Smart windows have been installed in residential, health care, office, education and transportation sectors across the U.S. and the industry is ready to scale. ITC historically has been a massive catalyst to drive the widespread adoption of technologies such as solar and wind. And we expect to do the same for smart windows. Faster adoption of smart windows will also create high-tech, high-paying American manufacturing jobs. Now, let me give you an update on cash and financing. We reported $111 million of cash at the end of Q2 2022, with no substantial debt on our balance sheet. Since we last spoke to you in June, we've been working diligently on our next capital raise. Today, we announced that we've entered into a committed equity facility under which we have the option to sell up to $100 million of View common stock over a 36-month period. We're also making progress on additional financing while we drive reductions in net cash burn through higher revenues in the second half of 2022; lower G&A spend and better working capital management. Now, an update on the market and our customers. As the economy is in a state of flux, the real estate industry is also going through some volatility. In spite of these macro trends, we are well positioned for high growth for three reasons. First, we're focused on industry adoption driven by the secular trends of sustainability, digital transformation and better user experiences and health. Second, what are the early stages of smart glass market adoption? And third, we have a very broad customer base across all the major vertical real estate verticals. Now, I'll give you some context around each of the key verticals. Let me turn to corporate office. While there is some anxiety about the growth in office, companies are doubling down on designing inviting healthy, experience office spaces that employees want to return to rather than have to. Life Science and Biotech especially continue to experience high growth. In the wake of the pandemic that increased federal and private funding into life sciences, biotech buildings are expected to more than double in the next 7 to 10 years. We have won several key flagship life science buildings. And we're happy to announce the recent win of 10 World Trade, a 17-story, 600,000 square foot life science and office tower in Boston. Now, turning to airports. Every major airport in the United States has set sustainability targets and is actively designing new terminals and renovating existing terminals around this core mission. Additionally, the industry is designing terminals focused on passenger experience. In Q2, we installed View smart windows at Phoenix Sky Harbor and Dallas Fort Worth Airports. View smart windows are now being enjoyed in more than 15 major airports in the U.S., including San Francisco, Boston Logan, Chicago O'Hare, Charlotte, Memphis, Seattle and LaGuardia, to name a few. Now, let me talk about the residential sector. Multifamily has been a particularly strong vertical. And we expect to see sustained growth over the next several years as significant housing shortages persist. View is currently installed and designed into over 2.5 million square feet of multifamily buildings, including Sven, a 67-story high-rise in New York, Exo multifamily complex by Greystar in Dresden, Virginia, the power in the heart of Boston, Park Kirkland in Seattle and AD Bond a development by Atria in Ontario, Canada. Residents in multifamily buildings enjoy the value and experience and health and benefits of View smart windows. And we have strong evidence that this results in faster lease-ups and higher rents for building owners. With that, I'll hand it over to Amy to cover the financials. Amy, over to you.
Amy Reeves: Thank you, Rao and good afternoon, everyone. I will be covering the financial results for Q2 2022. For the quarter, we reported revenue of $16 million which represents a 4% year-over-year decrease from Q2 2021 due to timing of smart glass projects that are expected to be produced and shift in the second half of 2022, mostly offset by higher smart building platform and smart building technologies revenues. First half of 2022 revenue of $33 million represents a 25% year-over-year increase from the first half of 2021. And we are on track with our 2022 plan for full year revenue in the range of $100 million to $110 million. Our Q2 2022 cost of revenue decreased from $50 million to $40 million, representing a 20% year-over-year decrease. The decrease in our cost of revenue reflects lower levels of contract loss accruals, higher factory yields, product mix and lower levels of stock-based compensation expense, partially offset by higher costs associated with increased new smart building platform revenues, higher factory costs following the scaling of the factory in the second half of 2021 and higher levels of inventory reserves. As a result, gross margin as a percent of sales significantly improved year-over-year. We expect to continue to see leverage in our model as we forecast strong growth in the second half of 2022. Turning to operating expenses. View incurred $21 million in research and development costs in Q2 2022, a decline of about 1% from Q2 2021. We remained committed to investing in our smart window product, including the panel and industrial network as well as our next-generation technology to accelerate the digital transformation of buildings. With the launch and ramp of our fourth generation panel as well as the new product offerings smart building platform and smart building technologies behind us, we anticipate a moderation of R&D spend in the second half of 2022. We incurred $41 million in selling, general and administrative expenses, an increase of $6 million or 18% from Q2 2021. This increase was primarily attributable to $7 million of consulting, legal and accounting expenses associated with the audit and restatement of our prior period financial statements. With the conclusion of our financial restatement following the filing of our Form 10-K and our quarterly report for the 2021 interim periods, we expect our G&A expenses will be significantly lower in the second half of 2022. This accumulates to a Q2 2022 GAAP loss from operations of $85 million compared to a loss of $88 million in Q2 2021. Our GAAP net and comprehensive loss in Q2 2022 was $83 million compared to a loss of $96 million in Q2 2021. Our current shares outstanding, is 219 million shares. Net cash used in operating activities for the first half of 2022 was $153 million compared to $125 million in the first half of 2021, reflecting higher costs associated with expanded product offering and increased factory capacity as well as expenses incurred as a result of the financial restatement and related work. As we have said before, we anticipate cash burn will moderate in the second half of 2022 through working capital management, reduce general and administrative spend following the completion of the restatement and higher revenues driving improved factory unit economics. As Rao mentioned earlier in the call, we have secured a committed equity facility for up to $100 million. And we are actively pursuing additional sources of capital to strengthen our balance sheet. With that, I'll pass it back to Samuel.
A - Samuel Meehan: Thank you, Amy. We will begin the Q&A portion of today's call with some consistent questions we've heard from investors. For reference, you can submit questions by e-mailing View Investor Relations at ir@view.com. The first question is for you, Rao. Rao, we're consistently getting questions and concerns about the softness of the office sector with work from home trends. Cities like San Francisco and New York have been hardest hit. Rao; how, is you able to grow in this macro backdrop?
Rao Mulpuri: Yes. Look, the reality is this debate about work from home continues to play out fairly publicly at the moment. But the truth is people are social beings. And they need a connection for them to thrive. And more specifically, you can't think of a single business that doesn't want to innovate, create culture and a sense of belonging among its employees. The days of an office as a box that you go to from 9 to 5 are over. So what I'm hearing from thoughtful corporate leaders is that they want to create corporate environments where people want to go rather than have to go; this bodes very well for our business. While the macro may be depressed, this particular secular trend is very favorable to View and this is where we really shine. In spite of the macro environment, there's still plenty of new builds and renovations are going on, first of all. Second, remember, we don't sell a product as a static building material. We actually work with corporate tenants and in fact, engage with their employees through our apps and software to continually improve the experience and the health of their employees. In a sense, we are a tool for corporate leaders to create a better, more inviting environment for their employees. So for that reason, in spite of the macro and the big questions that remain in the industry, the secular trends that corporate leaders are driving by creating better facilities is exactly where we play.
Samuel Meehan: And Rao, View is claiming traction and growth in multifamily, where traditionally, you've been much more focused on the commercial sector. What gives you confidence that you can succeed in this segment?
Rao Mulpuri: Yes. So View window is highly beneficial in any building really. While we started our initial journey with corporate real estate and commercial real estate, the product is brilliant in the residential environment and creates a strong emotional connection for the user. The multifamily segment is very similar in decision-making and delivery to the commercial segment and in fact, in many cases, the same real estate companies own commercial and residential assets. What we now learned over the past couple of years of doing projects in New York, Boston, et cetera, is that through our app, we see very strong engagement with the residents. And the building owners are telling us that new apartments are getting leased faster and higher rates. So they're able to underwrite the premium with View. And with the severe shortage of housing, this is a segment that's going to be very resilient in this cycle. And we're very, very excited about growing with this segment.
Samuel Meehan: And Amy, the next question is for you. During the last quarterly call, you claimed that you will have a significant reduction in cash burn in the second half of this year. How do investors get comfortable with this? And what are you changing structurally to achieve this?
Amy Reeves: Sure. There are a few key factors that are driving this. First, we do expect our second half G&A expenses will be significantly lower following the completion of our restatement in the first half. Second, with the broad supply chain issues that are present in the world today, our team has done a great job of securing materials that we will use to continue to meet our customer needs later this year and into next year. So as a result, we did have some investments in working capital in the first half of this year. And we do expect those to taper off in the second half. And then, finally, given the significant fixed costs that we have in our business, the great thing about growing revenues is that our unit costs do come down rapidly. And as a result, our cash burn does go down as our revenues go up.
Samuel Meehan: And Amy, to follow up on that, you've stated you'll achieve gross margin positive in the second half of next year. What are the key elements to achieve gross margin positive?
Amy Reeves: Sure. As I said, our growing revenues over a fixed cost base, is rapidly accretive to our financials. And we have confidence in the expected growth in 2023 and beyond. As we achieve that and with the investments that we've already made in capacity, we expect to be gross margin positive in the second half of next year.
Samuel Meehan: Rao, in order to hit your growth targets, you need to deliver ever higher volumes and what appears to be a very unique process technology. Why do you have confidence that you can do that?
Rao Mulpuri: Yes. So this has been a long journey to build our capacity and to drive the learning cycles. So over the last 10 years, as with any successful scale-up of new technology, we've been working on continuously improving our process while growing the volumes. And after many learning cycles, we've now perfected it. Second, we've made significant product improvements to get to a mainstream product. And we're now in our fourth generation product. With the product specs locked, the manufacturing ramp becomes much easier. The things that impact output are line speed, uptime and things like yield. We now have a mainstream product that is ramping. And we have a good handle on the key elements that drive out for growth. So we feel very confident about being able to meet our increasing customer demand with the investments we've already made and the improvements we continue to make.
Samuel Meehan: And Rao, it’s clear the company needs additional capital soon. With the public markets being generated, how are you gaining confidence that you will be able to raise funding?
Rao Mulpuri: Yes, this is the most important thing we're working on at the moment. We started this process to raise capital after the conclusion of the restatement in June. If not for the restatement, we would have raised this capital a long time ago. While the macro environment is tough, View has a lot of uniquely positive things going for us. First, after a decade of value creation in R&D, we have a transformative product that is producing great proof points with our customers and doing that at scale on very large projects. Second, we've made significant forward investments in our operations over the years to get the company to $1 billion of revenues at scale. And this year, as you know, we're projecting to be about 10% of that. So 90% of that journey is still in front of us with the footprint we already have. We have a large market and the secular trends exactly favor the product we're delivering. So our timing is very good. And we're also demonstrating strong growth in the market and have a sight to profitability. And importantly, as we disclosed today, our product is expected to be eligible for the investment tax credit at the conclusion of the process in Congress. And that credit is similar to what you get with the solar panel. We feel all of this represents a huge upside for investors.
Samuel Meehan: Thanks so much. We're now ready to begin the Q&A portion of today's call. Operator, you may now open the call for questions.
Operator: [Operator Instructions] And we do take our first question from Pavel Molchanov with Raymond James.
Pavel Molchanov: Let me start with the reconciliation bill, assuming it gets across the finish line; you will have a choice to make. You could raise the price of the product and kind of capture the tax credit in some sense for your margin or you can let the customer capture the entire tax credit and drive demand that way. How are you thinking about making this choice?
Rao Mulpuri: Yes, Pavel, thank you and it's an impactful question around how businesses react to these types of events. In our case, we've always priced our product to the market. I mean, initially, our prices were lower or we were discounting more. And over time, as our customers have realized value, they've been able to pass on some of their benefits to us by way of our ASPs rising up. Today, we're very happy with our ASPs and the ability for us to make a great margin at scale. So the primary focus for us is to drive our costs down so that we produce a great margin and our ASPs are very healthy. Now to your question, as this tax credit gets implemented, the first thing we expect to see is, hopefully, customers will now see this as a huge opportunity to take advantage of this because their ability to underwrite the premium now become much easier. How much of that should be shared with us and how does that impact our margin and our financials. We haven't yet modelled that out. But clearly, as you can imagine, we'll make good business judgments. But importantly, our focus here is to serve our customers and make sure our product is more affordable to them and be able to build capacity as fast as we can to serve that growing need.
Pavel Molchanov: Okay. Let me turn to the balance sheet. You mentioned the equity commitment that you can draw upon and also to convert that you plan to issue. Are you looking at any non-dilutive options that might involve selling IP, selling patents, monetizing technology; some kind of strategic collaboration with an industry partner. Is any of that on the table?
Rao Mulpuri: So Pavel, our near-term focus is to serve our existing customer base. And they've got tons of projects behind the ones we've already completed. And we enjoy a very healthy repeat business with them. So our primary focus here will be complete this capital raise, focus on delivering to our customers on time and help them succeed. And right now, that focus is in the North American market. And as you know, we sell directly in this market. And we've built a fantastic network of our team in the field, serving those customers. That's our #1 goal. But as we accomplish that and demonstrate great economics, will there be potential for us in the future, whether it's here or in other geographies to build more partnerships? Potentially, yes. At this point, we're not contemplating that. We're very laser-focused on serving our current markets we serve. And in those markets, today, we are engaging directly with building owners and working with builders, architects to deliver on those projects.
Pavel Molchanov: Okay. Last thing I wanted to ask about as it relates to, I guess, the supply chain. We are seeing some inflationary cooling off in various commodities. Obviously, glass is your most important raw material that you're purchasing. What's happening with the cost of glass that you are -- buy?
Rao Mulpuri: Yes. So as you know, we buy raw materials, in some cases, commodity raw materials, in some cases, high purity raw materials, for example, things like the plasma coatings we apply. And we've seen some moderate increases, primarily because we buy at the high end of those commodities already. And as you know the two primary inputs into commodities that drive prices are energy and labor and both of which have seen significant increases in the last year or two. I think broadly, the economy is seeing it. And I think we will expect to see even in the built environment is slowing down of that. And we're already seeing some reductions in prices there. But our business to the first order does not depend on that. We don't compete with commodities. And we certainly -- the cost of commodities as a percent of our own cost is relatively low compared to other businesses. So given those two, we're not really fixated on that. We are keenly focused and understanding where things are headed for our planning purposes. But to the first start of Pavel, that's not a major factor for us.
Operator: There are no further questions. At this time, I'd like to turn the floor back over to Dr. Rao Mulpuri for closing comments.
Rao Mulpuri: Well, thank you all for joining the call today. We're on an exciting journey to change the world for the better. And we look forward to talking to you all in our Q3 call. Thank you.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.